Operator: Good day, ladies and gentlemen, and welcome to the Douglas Dynamics' First Quarter 2015 Earnings Conference Call. At this time all participants are in a listen-only mode. Later we will conduct a question-and-answer session and instruction will follow at that time. [Operator Instructions] As a reminder, today’s conference call is being recorded. I would now like to turn the conference to our Mr. Bob McCormick, Executive Vice President and Chief Financial Officer of Douglas Dynamics. Please go ahead sir.
Bob McCormick: Thank you. Hello everyone and thank you for joining us on our call today. Two quick items as we begin. First, please note that some of the information that you will hear during this call will consist of forward-looking statements within the meaning of Section 21E of the Securities Exchange Act of 1934 as amended. Such statements express our expectations, anticipations, beliefs, estimates, intentions, plans and forecasts. Because these forward-looking statements involve risks and uncertainties, our actual results could differ materially from those in the forward-looking statements. For more information regarding such risks and uncertainties, please see the sections titled Risk Factors, Forward-Looking Statements and Management's Discussion and Analysis of Financial Condition and Results of Operations included in our Annual Report on Form 10-K for the year ended December 31, 2014 filed with the Securities and Exchange Commission and the updates to these sections in our subsequently filed quarterly reports on Form 10-Q. Second, this call will involve a discussion of adjusted EBITDA, and non-GAAP financial measures, which under SEC Regulation G, we are required to reconcile with GAAP. The reconciliation of these measures to the closest GAAP financial measure is included in today's earnings press release which is available at douglasdynamics.com. Joining me on the call this morning is Jim Janik, Chairman, President and Chief Executive Officer. With these formalities out of the way, I'd like to turn the call over to Jim.
Jim Janik : Thank you, Bob. Good morning and welcome to the first quarter 2015 earnings call. We’re in New York this morning hosting our call from the New York Stock Exchange and as you might have seen yesterday we rang the closing bell the celebrate the five year anniversary of our IPO and today we’ll be hosting our first ever investor event and we hope you can all join us. On this call, I’m going to begin by providing an overview of our results and then Bob will provide a detailed review of our financials. Finally, I’ll return to discuss the current trends and our outlook for 2015. We produced another quarter of strong financial results which was driven by robust equipment and parts and accessories shipments. Of course the acquisition of Henderson Products had a significant positive on our results. I’ll be showing further details on the encouraging results we’re seeing in that business as well as provide an update on the integration later in the call. Turning to our results. Net sales were 53.9 million in the first quarter of 2015. This represents a 48.1% year-over-year increase. Robust first quarter 2015 results reflect the highest plow shipments in more than a decade and the second highest parts and accessory shipment in the history of our company. We are very pleased with their strong performance. It’s worth noting that first quarter 2014 was unprecedented first quarter for us given the timing and record amount of snowfall last year and certainly makes for a top year-over-year comparisons. As a reminder, last year almost all major core markets for Douglas received at or near record snowfall for the season and snowfall levels were fairly evenly distributed across November to March snow season. Snowfall was above average for this year although wasn’t as widespread geographically and also heavily weighted towards the February and to March season after slow start in the early snow season. Based on the top comparisons we are still very pleased with our strong financial performance. Going forward, we’re focused on three key strategic priorities, which I will briefly outline now and discuss in greater detail at our investor event later today which will also be webcast. The three priorities are one, optimize the core business; two, deliver operational excellence across the company; and three, explore adjacent markets. We are actively searching opportunities to optimize the core business through our industry meeting product portfolio. We unveiled a new lineup of products at NTEA work truck show earlier this year and these products were very well received by both dealers and end users. We remain committed to innovating products that enable people to perform their jobs more efficiently, productively and profitably. Our new products which were unveiled earlier this spring will arrive to dealers with plenty of times to meet demand prior to the snow season. Although a significant portion of these products may not be shipped until the third and early fourth quarters. While the early reception to these products are strong, it’s still too early in the preseason to comment and order since most of the larger order tend to come late in the preseason period. As we previously stated, the foundation of our success is our proprietary Douglas Dynamic’s Management System or DDMS. We are focused on leveraging this approach to the entire value chain. DDMS underpins our success to drive incremental improvements across our product portfolio and allow us to quickly adapt and react to change in market conditions. We’re reluctantly pursuing new innovative ways to improve the productivity of our acquired businesses, TrynEX and Henderson. Finally, as we’ve stated in recent years, we will continue to explore logical adjacent market opportunities that are focused work truck dedicated attachments. We will opportunistically pursue strategic acquisitions that will expand our market share in new geographic in end user markets and develop strategic platforms that reduce reliance on weather. As we continue into 2015, we’re encouraged by positive non-snowfall business indicator such as the positive trend in light truck sales, selective pick-up truck sales through March remain robust with the a 7% year-over-year increase. Another positive indicator is favorable dealer sentiment. Dealer field inventory taken at the end of January was relatively flat year-over-year however strong February snowfall further reduced dealer inventory to lower than average levels. Over the years while there is isn’t a direct link, we found tuck sales due positively correlate with plow sales over the long term. Now I’d like to provide an update on the Henderson acquisition that was completed right at the end of December 2014. With one full quarter under our belts we're pleased with the results we’ve seen and the integration of the business is progressing well. While we’re early in the process the initial results are positive and boarded well for the future. Henderson financial results were in line with our expectations and there is a healthy backlog of business and new demand opportunities. We remain very excited about the potential for the business. The acquisition firmly positions us as leader in all truck markets across snow and ice control. Similar to the TrynEx acquisition, we are seeking opportunities to incorporate DDMS across the Henderson business to drive value creation opportunities. Along with enhancing the profitability of the business, Henderson is on track to achieve its 13 straight year of consecutive revenue growth. The addition of Henderson advances our growth strategy and adds a layer of predictability to our business. Overall, we’re confident in our ability to make a great company even better. Finally I’d like to reiterate our dividend policy. We remain committed to returning value to our shareholders through a long-term dividend growth plan. As a reminder, we paid our regular quarterly cash dividend of $0.2225 per share of our common stock during the first quarter on March 31, 2015; an increase of 2.3% over the fourth quarter dividend. We’ve increased our dividend every year since our IPO in 2010. Along with the robust dividend, we’re focusing and driving long-term shareholder value to accretive strategic acquisitions and initiatives to improve our business profitability. With that, I’m going to turn the call back over to Bob to discuss these specifics of our financial results and then I’ll conclude with comments on our business.
Bob McCormick: Thanks Jim. For the first quarter 2015, Douglas Dynamics generated net sales of $53.9 million an increase of $17.5 million or 48% compared to $36.4 million in the first quarter 2014. Sales of snow and ice control equipment increased $17.7 million for the quarter driven largely by the addition of Henderson revenue in Q1. Overall Henderson sales of $19.9 million for the quarter as Jim mentioned earlier. Although first quarter parts and accessory sales were the second highest for this quarter in history of Douglas, it still fell slightly below the unprecedented record level of $14.2 million set last year. Gross margin was $16.4 million or 30.5% of sales for the first quarter compared to $14.1 million or 38.8% of sales in the first quarter of 2014. The decrease in margin has a percentage of sales is largely due to the addition of Henderson sales and a lower than historical Douglas margins including the negative impact of a one-time $2 million Henderson purchase accounting inventory write-up which was expense through cost of goods sold in Q1. SG&A was $11.4 million for the first quarter compared to $8.3 million in the first quarter of 2014. Henderson SG&A of $2.5 million comprised a majority of the year-over-year increase. The balance of the SG&A increase was driven largely by increased advertising costs. First quarter 2015 adjusted EBITDA was $9.6 million, compared to prior year adjusted EBITDA of $8.3 million an increase of $1.3 million. Net income for the first quarter 2015 was $0.4 million compared to prior year net of $1.6 million. Earnings per share were $0.01 per diluted share in the first quarter of 2015 compared to earnings per diluted share of $0.07 in the prior comparable period. Included in these results are $2.1 million of noncash purchase accounting adjustments related to the Henderson acquisition, which negatively impacted earnings by $0.05 per diluted share. We produced a profitable first quarter for the first time of decade last year and we’re very pleased we were able to repeat that lead again this year due to a strong performance and the addition of Henderson, which adds less seasonality to its business than our core Douglas business. Let me take a moment and provide an update on the results for Henderson progress. During the first quarter 2015, Henderson generated net sales of $19.9 million and adjusted EBITDA of $3.1 million, net of pre-tax $2 million purchase accounting adjustment related to an inventory write-up. As previously stated the acquisition is expected to be accretive to earnings per share on a full year basis in 2015 and free cash flow positive on a standalone basis in 2015. Henderson results were in line with our expectations and combined with the backlog that we see today board well for 2015 performance. Net cash provided by operating activities in the first quarter 2015 was $11.3 million compared to prior year net cash provided operating activities of $10.2 million. This increase was driven largely by favorable working capital changes. Cash on hand in the first quarter 2015 totaled $20.8 million, the unused borrowing capacity under revolver is $70.3 million with total liquidity to $91.1 million, we are well positioned to fund our quarterly dividend payment and future growth opportunities. As part of our customer preseason inventory build, inventory was $71 million at the end of the first quarter of 2015, compared to $46.9 million inventory at the end of 2014. Inventory excluding Henderson products increased $6.1 million compared to the end of the first quarter of 2014. If you remember, inventory at the end of Q1 2014 was unusually low given the strength of shipments last year. Account receivable at the end of first quarter 2015 were $23.9 million, an increase of $10.4 million compared to the first quarter of 2014 that was also driven primarily by the acquisition of Henderson trade receivables. With that, I’ll turn the call back over to Jim for some concluding remarks. Jim.
Jim Janik: Thank you, Bob. Let my now take a few moments to share some thoughts on what we were expecting for 2015. We remain confident that we will achieve another year of strong financial performance following our record performance of 2014. We are particularly encouraged by our new innovative line up of products and positive non-snowfall indicators such as strong backlog, favorable dealer sentiment, and continued strength in select pickup sales. Distributor added goods towards snow and ice control as well as truck equipment business are positive for 2015. It is cautious group by nature but they are about as positive as they can be at this moment. We are in the process of completing regional preseason meetings to discuss all the new products and share the preseason orderly programs with dealers. Dealer feedback has been very favorable as they were introduced about the product and the potential to drive incremental revenue. We anticipate order shipments during the preseason order and shifting period to be closer to a 50-50 split between the second and third quarters. This is due primarily to the new production ramp up now underway resulting in stronger third quarter shipments and has occurred over the past few years. As the year unfolds, we will continue to drive profitability across the business and leverage DDMS to increase value for shareholders. We will now open the call for your questions.
Operator: [Operator instruction] And our first question comes from Josh Chan of Baird. Your line is now open. Josh Chan, please check you mute button.
Josh Chan: Okay, great. Sorry about that. Just wanted to ask a question about the Henderson margin and they seem to be a little bit better than what Henderson has reported historically. So, is there any color you can give in terms of how sustainable that is or whether there is any seasonality to the margins, that’d be great?
Jim Janik: Yes. There is really nice seasonality to Henderson’s margins. They are little stronger in the first quarter than they’ve historically been. I think favorable steel cost are helping add to that and we expect to see mid-20s margin for probably balance of the year.
Josh Chan: And on the steel cost, would that also likely benefit the core Douglas business for the year?
Jim Janik: Yes. It would now -- and keep in mind, as we said many times before Douglas' steel prices are certainly 90 day late basis, so when steel prices go down we will see it 90 days after it goes down. So, we’d expect second and third quarter Douglas margin to have a little bit favorability there as well.
Josh Chan: And lastly, I know you haven’t received a lot of preseason orders yet, but just any color in terms of the orders that you have received and how that shapes out versus historical pattern; that will be great.
Jim Janik: Sure. Again the number of orders to this point, really don’t give us trend or more data points, but they’ve been very positive to this point, so we’re encouraged.
Operator: And your next question comes from Jason Ursaner from CJS Securities. Your line is now open.
Jason Ursaner: You guys looked good yesterday. I like Bob with that hammer. You looked accountable. Just first on the parts sales, because I think that was one area were results came maybe a little less than expected. One of the surprising things to me the last couple of years have been part sales increasing and you know in units and with equipment sales would have expected maybe those go in different direction. You guys reduced parts once they get the new equipment. But just wondering maybe this is that dynamic starting to show through. And I guess more importantly what if anything that might save to you guys about pent-up demand. Does this mean at all there are less older units out there the guys are buying parts for repairing instead of replace or maybe I’m just reading too much into that.
Jim Janik: I think there is a couple of questions you’ve got it in there. The first one is last year part sales were just off the charge, because it’s noted so regularly in so many geographic areas. So that basically everyone in the country was buying service parts. This year, we had very strong orders by historical standards, but it would be very difficult for us to manage what occurred last year. As far as -- you’re absolutely right. The last few years as we’re seeing some release of pent-up demand. We’re also seeing an increase in parts and accessory orders. And part of that is really from our perspective. We’ve introduced some new accessories, so that will increase our parts and accessories shipment. But I think it's a little interesting to us too. We’re beginning to see a little bit of a diversion from historical standards where if PLOW sales or equipment sales were up in any particular -- your part sales might be down. We’re actually seeing them the last few years going in tandem, which is terrific but it is unusual.
Jason Ursaner: And any of the new enhancements does it help, you think it would capturing the third-party market? There is a more proprietary parts or anything like that? And do you have a decent sense for what percentage of aftermarket you guys can capture?
Jim Janik: There is always proprietary part when we’re making unique products from other competitors. There are always proprietary parts. I think, this year as we introduced new products, it’s a record year of new introductions. I think we will see hopefully pretty strong parts and accessory orders over the next couple of years just because of the more proprietary parts. As far as percentages go versus build that are another people; that’s really hard to say, we feel very comfortable that we’re getting a significant share of the market but that’s strictly anecdotal.
Jason Ursaner: And just a question that we’ve talked about a few times before, but the starting inventory base for the dealers kind of after the preseason period, you mentioned the positive sentiment that they’re expressing. So just wondering after a couple of good years of sales any sense that they would be maybe thinking about expanding the inventory base back to where it was, couple of years ago, which would help expand the preseason period -- maybe especially with some of the difficulties I think?
Bob McCormick: I think that’s definitely a possibility with the number of positive years in a row. I think the willingness for dealers to begin with a larger amount of inventory through preseason period, typically takes place and I wouldn’t be surprised to see that this year as well.
Operator: [Operator Instructions] And I’m showing no further questions at this time. I’d like to turn the conference back to Mr. Jim Janik for any closing remarks.
Jim Janik: Thank you, operator. And thank all of you for your interest in Douglas Dynamics. We look forward to speaking with you again in early August for our second quarter earnings announcement. Thank you.
Operator: Ladies and gentlemen, thank you for participating in today’s conference. This does conclude the program and you may all disconnect. Have a great day everyone.